Operator: Thank you all for your patience. The conference call titled Amneal Pharmaceuticals, Inc. Fourth Quarter and Full Year 2025 Earnings Call will begin shortly. During the presentation, you will have the opportunity to ask a question by call. Good morning, and welcome to the Amneal Pharmaceuticals, Inc. fourth quarter and full year 2025 earnings call. I will now hand the call over to Amneal Pharmaceuticals, Inc.’s Head of Investor Relations, Anthony DiMeo. Go ahead, please, sir.
Anthony DiMeo: Good morning, and thank you for joining Amneal Pharmaceuticals, Inc. Fourth Quarter 2025 Earnings Call. Today, we issued a press release reporting Q4 results. The earnings press release and presentation are available at www.amneal.com. Certain statements made on this call regarding matters that are not historical facts, including but not limited to management's outlook or predictions, are forward-looking statements that are based solely on information that is now available to us. Please see the section entitled “Cautionary Statements on Forward-Looking Statements” for factors that may impact future performance. We also discuss non-GAAP measures. Information on use of these measures and reconciliations to GAAP are in the earnings release and presentation. On the call today are Chirag K. Patel and Chintu Patel, Co-Founders and Co-CEOs; Anastasios G. Konidaris, CFO; our commercial leaders, Andy Boyer for Affordable Medicines, Joe Renda for Specialty; and Jason Daley, Chief Legal Officer. I will now hand the call over to Chirag K. Patel.
Chirag K. Patel: Thank you, Anthony. And good morning, everyone. 2025 was a defining year of excellent execution and portfolio expansion at Amneal Pharmaceuticals, Inc. As a diversified biopharmaceutical company across specialty, complex products, injectables, and biosimilars, we are building category leadership positions in large and growing markets. In 2025, revenue grew 8%, adjusted EBITDA increased 10%, and adjusted EPS rose 43%. 2025 marks our sixth consecutive year of growth in our industry. That consistency of growth stands out. What is most exciting is not only what we have achieved so far, which we are truly proud of, but the even greater opportunity that lies ahead. We entered 2026 with a strong foundation and exciting strategic growth opportunities. Whether we are advancing the standard of care with innovative therapies like Trexon or expanding access to affordable complex medicines, our mission is clear: to become America’s number one affordable medicines company. Since our founding over 20 years ago, Amneal Pharmaceuticals, Inc. has always been driven by the deep passion and responsibility to serve the millions of patients who rely on our medicines every day. And we are just getting started. Let me begin with our largest segment, Affordable Medicines. The business continues to grow year after year, driven by an expanding portfolio of complex, differentiated, and durable products. 2025 was an exceptional year for approvals and launches, particularly in complex generics and injectables. These launches are not one-time events; they are multi-year value drivers. As a result, we expect meaningful acceleration in our Affordable Medicines segment revenue growth in 2026 and 2027. In injectables, we are executing with a clear ambition to become a top five player in the U.S. institutional market. Over the years, we have significantly expanded our R&D and manufacturing capabilities, adding the technical capabilities required for long-term leadership. Our strategy focuses on providing differentiated offerings for hospitals, including ready-to-use specialty injectables. With over 40 products and a pipeline of differentiated launches, we expect this business to scale substantially over time. In biosimilars, we are building a long-term growth engine. We began with in-licensing and creating a strong commercial platform. In December, we received approval for our adenosuba biosimilars, our fourth and fifth products. With biosimilars ZOLAR in review, we remain on track to have six biosimilars in the U.S. market by 2027. Strategically, our goal remains to be vertically integrated in biosimilars across development, manufacturing, and commercialization, which we believe is essential for long-term success. From a macro perspective, the opportunity is remarkable. Over the next decade, about 234 million of biologic sales will lose exclusivity, more than double the prior 10 years, and only about 10% of those products have biosimilars in development. This creates a significant long-term opportunity to dramatically expand patient access and drive very meaningful growth for our company. Next, in GLP-1s, our collaboration with Pfizer is progressing well, and both teams are working together. We are here to assist Pfizer in a meaningful way. This initiative builds on what we do best: develop, manufacture, and commercialize complex medicines at scale, and positions us to play a meaningful long-term role in one of the largest and fastest growing therapeutic categories in healthcare. Now let us turn to the specialty segment. We are very pleased with the take of Krexone. At the end of 2025, about 23,000 patients were on therapy, reflecting over 3% market share one year post launch. For context, Rytary reached 42,000 patients and 6% market share 10 years after launch. In December, interim Phase 4 data reinforced what physicians and patients are already seeing: Taxon delivers more good on time than other therapies. We remain confident in peak U.S. sales of $300 to $500 million for Trexon, which we believe is setting a new standard of care for Parkinson’s patients. In the fourth quarter, we launched Breqia, a first and only auto-injector for severe migraine and cluster headache patients. For many of these patients, the prior option was an emergency room visit. Plinkia gives them control, delivering the same hospital medication in a ready-to-use auto-injector. Recap is our next growth catalyst in specialty, with expected peak sales of $50 to $100 million. Lastly, healthcare continues to provide diversification and strategic advantage. Through government and distribution channels, healthcare strengthens our direct access to key end markets and provides an efficient path for new launches, including biosimilars, complex generics, and specialty products. Overall, we are building a diversified biopharmaceutical company that expands access and provides new therapies for patients and delivers consistent growth for investors. With that, I will turn it over to Chintu.
Chintu Patel: Thank you, Chirag, and good morning. I will begin with gratitude and thank the global Amneal Pharmaceuticals, Inc. team for their dedication and hard work, which continue to drive our company's success. The formula for strong execution remains the same: operational excellence, robust innovation, and a differentiated portfolio. First, on operations, our global manufacturing network and leading technical capabilities remain a core strategic advantage. We continually enhance efficiency through digitization, automation, and AI, which will drive cost efficiencies. In GLP-1s, our collaboration with Pfizer is progressing very well. Our manufacturing buildout of two new GLP-1 facilities remains on target—one for large-scale peptide production and one for advanced sterile fill-finish manufacturing, designed to support all dosage forms. We are well positioned to participate meaningfully in the long-term GLP-1 market with a scalable and flexible manufacturing platform. In Affordable Medicines, we look to launch 20 to 30 new products each year. Importantly, it is not just the number of launches, but the value and complexity of these products that matter. In that regard, 2025 was an exceptionally strong year. For years, we have strategically prioritized development of complex generics, including injectables, ophthalmics, inhalation products, and other advanced drug-device combinations. As a result, we are now in the midst of one of the most concentrated and impactful waves of high-value Affordable Medicines launches in Amneal Pharmaceuticals, Inc.’s history. During the fourth quarter, we meaningfully expanded our portfolio with a series of important late 2025 approvals and launches across multiple areas. Highlights included risperidone extended release, our first long-acting injectable; sodium oxybate; bimatoprost; and cyclosporine in ophthalmates; the first generic for iohexol; and multiple other injectables for hospitals, including several epinephrine products. Notably, we also announced approval and are now launching our first two inhalation products: beclomethasone dipropionate and albuterol sulfate. This reflects a decade of hard work by the team and marks our new entry into inhalation, which is a new growth platform starting this year. With this level of activity, we are reaching an inflection point in complex innovation. We have 59 ANDAs pending, products with 64% classified as complex, and 52 more products in development with 94% complex. We look to file 10 to 15 key complex programs in 2026, including several more injectables and inhalation programs. This complex portfolio evolution positions us very well for sustainable growth. In biosimilars, we continue to build our business deliberately over time. Our next major milestone is biosimilar Xolair, which represents our sixth potential biosimilar and our largest opportunity to date. Xolair was one of the first blockbuster allergy biologics, and we expect to be among the first biosimilars in this over $4 billion U.S. market next year. We are very proud of the progress we have made in building a biosimilar business. As Chirag noted, we see a very significant opportunity ahead with the upcoming wave of biologics LOEs. Access in this space will require vertical integration, from cell line development and R&D to manufacturing and commercial capabilities. That is what will be needed to be a long-term leader in biosimilars. In specialty, Krexone continues to perform exceptionally well and we believe it has the potential to become the standard of care for all people living with Parkinson's disease. For decades, the foundation of treatment has been immediate-release carbidopa/levodopa, a therapy that dates back to the 1970s. IR CD/LD is limited by fluctuating symptom control, frequent dosing, and significant off time as the disease progresses. Kraxant represents a meaningful advancement in therapy designed to address these long-lasting limitations by delivering more consistent symptom control with fewer daily doses. In 2024, we initiated a Phase 4 real-world study of approximately 225 patients, converting them from Rytary, IR CD/LD, and IR CD/LD with COMT inhibitors to Kraxant. In December, we shared the first interim result from this open-label study, which demonstrated clear and clinically meaningful differentiation. Patients treated with taxon experienced substantially more good on time, less off time, and longer intervals of continuous good on time. Importantly, patients converted from IR to Krexone showed over three hours more good on time per day, a result that is highly meaningful for Parkinson's patients. taxon effectiveness. We look to generate further evidence to demonstrate and expect to share more data for 2026 and 2027. In addition, internationally, we have filed the products in a number of key countries, including India, Canada, and in Europe. Beyond Kraxon, we plan to expand our specialty over time with products in areas like CNS and others where differentiated delivery, real-world performance, and patient convenience matter. Brekia auto-injector is a clear example, combining a proven therapy with a differentiated drug delivery system that improves how patients receive care. Specialty represents a multiproduct growth engine for Amneal Pharmaceuticals, Inc., and we will share more on our pipeline as it evolves. In summary, we are executing well, driving operational excellence, advancing innovation, and expanding a differentiated portfolio across Affordable Medicines, specialty, and biosimilars. The progress we made in Q4 reinforces our confidence in the path ahead. With that, I will turn it over to Tasos.
Anastasios G. Konidaris: Thank you, Chintu, and good morning, everyone. The fourth quarter completed another terrific year for Amneal Pharmaceuticals, Inc., with strong top and bottom line growth, as Q4 revenues grew 11%, adjusted EBITDA grew 13%, and adjusted EPS grew 75%. Our consistent performance reflects our strategic choices, relevancy of our broad portfolio, prudent capital allocation, and strong execution. In addition to strong top and bottom line growth, we also delivered strong full-year operating cash flow of $340 million, reduced net leverage to 3.5x, and our successful refinancing extended maturities to 2032 and substantially reduced interest costs. So all in all, an excellent finish to the year. Over the next few minutes, I will cover in more detail our fourth quarter and full year 2025 results and move on to our 2026 guidance. Starting with the fourth quarter, total company revenues grew 11% to a record $814 million. First, our Affordable Medicines segment was essentially flat at $437 million, reflecting the timing of key products and new launches. Second, specialty revenues were very strong again in Q4, up 38% year over year to $167 million due to strong demand across our key brands such as Krexone, Rytary, Unithroid, and some small initial sales of our newest branded product, PreKey auto-injector for cluster headaches. Third, AvKARE revenues grew 24% to $211 million, driven by strong growth in the government channel. Our Q4 revenues continued to benefit by approximately $50 million associated with one significant new product launch, which accounted for approximately $100 million in new revenue for the full year 2025. Fourth quarter adjusted EBITDA of $175 million grew 13%, driven by top line growth and limited operating expense growth. Q4 earnings per share of $0.21 grew 75% due to adjusted EBITDA growth and lower interest expense due to our favorable refinancing earlier in 2025. Let me now shift to our full year 2025 performance, where we exceeded all our financial guidance metrics. Total company revenue of $3 billion increased 8%, driven by growth across all of our business segments, as Affordable Medicines grew 4%, specialty grew 19%, and AvKARE grew 12%. We are also very pleased by the growth of our adjusted gross margin, which expanded by 50 basis points to approximately 43%. It is worth noting that last year’s 2025 adjusted gross margin increased in excess of 400 basis points due to our concerted efforts to prioritize profitability. On the bottom line, full year 2025 adjusted EBITDA grew 10% to $688 million, and adjusted EPS grew 43% to $0.83. In addition to our strong financial performance in 2025, we feel great about the actions we have taken to strengthen our balance sheet. First, we have reduced net leverage from 7.4x in 2019 to 3.9x at the end of 2024 and finally to 3.5x at the end of 2025. Second, we fully refinanced our debt last summer, and in January, we repriced our Term Loan B to further lower interest rate expense. As a result, our weighted average cost of debt is down from 10% in 2024 to about 6.8% in 2026, and maturities have been extended out to 2032. Accordingly, interest expense in 2025 was $217 million compared to $256 million in 2024, and as importantly, we expect a further reduction in 2026. I will now turn to our full year 2026 guidance which, in summary, reflects another year of growth across all financial metrics. In summary, we expect top line growth between 1% and 4%, adjusted EBITDA growth between 5% and 10%, and adjusted EPS growth between 12% and 20%. Let me provide a bit more detail on each of our guidance metrics. Starting with total company revenue of $3.05 billion to $3.15 billion, up 1% to 4%. As I mentioned, we expect the growth to be driven by our largest business segment, Affordable Medicines, where we expect growth between 7% and 8%. This is an acceleration from 4% growth in 2025, but in line with our prior three-year average. Our growth expectation is rooted in the robust cadence of new product launches we received from the FDA in the last couple of months. As a result, we enter 2026 with the highest number of product approvals, which de-risks our growth expectations. In our specialty segment, we expect 2026 revenues to be about flat to 2025. This temporary pause in growth simply reflects the continued growth of Krexham and our other brands, offset by the expected generic erosion of Rytary. As we look forward to 2027 and beyond, we expect our specialty business to resume its strong growth trajectory as the growth of Craigsson and our multiple other branded products overcomes the loss of exclusivity of Red Ari. In our AvKARE segment, we expect revenue between $625 million to $700 million in 2026 compared to $745 million in 2025 and $663 million in 2024. While the year-over-year revenues will be down in 2026, our expected profitability is flat year over year, as we continue our successful efforts to focus on the more profitable segments of the business. For some of the newer audience in our call, it is worth noting that it has been about six years since we acquired 65% of AvKARE, and over that time, top and bottom line have increased by over three times. We are very excited about AvKARE’s growth potential, given the strong fundamentals of an expanding population of more than 20 million pet veterans and federal government workers, as well as a growing portfolio of new launches such as biosimilars, complex generics, and specialty products. Overall, AvKARE remains a highly strategic direct platform for Amneal Pharmaceuticals, Inc., and we expect it to continue generating substantial profits and cash flow over time. Moving down the P&L, we expect 2026 adjusted gross margins of over 44%, which reflects approximately 100 basis points of gross margin expansion, driven by the continued mix shift in our business as the higher margin parts of our business are growing faster. As a result, we expect 2026 adjusted EBITDA between $720 and $760 million, up between 5% and 10%. From an EPS perspective, we expect 2026 adjusted EPS between $0.93 and $1.03, which reflects 12% to 20% earnings growth driven by strong adjusted EBITDA growth and lower interest expense. In terms of quarterly phasing for 2026, we expect a gradual build over the year for a couple reasons. First, the revenue associated with many new Affordable Medicines launches as well as correction will build throughout the year. And second, some launch-related investments are more front-end loaded to support key launches such as Brachia auto-injector. Moving on to cash, we expect robust 2026 operating cash flow between $325 million to $375 million compared to approximately $340 million in 2025, and CapEx of approximately $110 million or 3% of revenue. Lastly, we are pleased to be added to the S&P small caps 100 index a month ago. It reinforces the consistency of our operating and financial performance over time. We believe this inclusion enhances our visibility with the investment community and continued expansion of our institutional investor base. In summary, we enter 2026 in our strongest position yet, with a wind in our backs. We expect sustained top and bottom line growth, supported by our diversified portfolio and multiple growth drivers, including new branded launches such as correction and breakia, new biosimilar launches, and a very strong wave of new Affordable Medicines. Combined with our disciplined focus on profitable growth, operating efficiencies, and strong balance sheet, we see a clear path for substantial value creation. With that, I will turn the call back to Chirag.
Chirag K. Patel: Thank you, Tasos. Our strong 2025 results and 2026 guidance reflect the momentum across our diverse business. We remain focused on the disciplined execution of our strategy as we progress towards becoming America’s leading affordable medicines company. Let us now open the call.
Operator: Thank you. As a reminder for our audience, if you would like to ask a question, you may do so by pressing star followed by the number 1 on your telephone keypads. Again, that is star followed by the number 1 on your telephone keypads, please. And we now have our first question here from Chris Schott from JPMorgan. Your line is open.
Chris Schott: Great. Thanks so much for the questions and congrats on all the progress. Maybe just to start out on Crexone, post the Phase 4 data for the product, can you just elaborate a little bit more on the response you are seeing in the market from these results? And maybe as part of that, as we think about 2026, how should we think about either revenue or market share targets for the product? Just had one follow-up after that.
Chirag K. Patel: Excellent. Well, I will start and have my brother on to this as well. So the Phase 4 is interim result, showing 3.13 hours of good on time, which is what we have been hearing from physicians and the experience of patients. It is a huge uptake. 80% of the IR patients are converting to Crexone. And the Phase 4 continues, Chintu will give more details on it. And we also have another study which he will share as well. Market share, we would double it in 2026. More than double the revenue.
Anastasios G. Konidaris: Percent of AvKARE. Since then, we have more than tripled the revenue, gross margins, and EBITDA. So it is great because we were able to leverage both the unique assets Amneal brought to the transaction as well as the inherent growth in that business. So as we talked about, when you look at 2025 versus 2024, in 2025, the total revenue of AvKARE was about $745 million, and in 2024, the revenue was $663 million. So that grew about a total of about 12%. About 50% of the revenue is between—about 40% goes into the government channel, 60% of the revenue goes in the distribution channel. So when you think about this 12% growth in 2025 versus 2024, the distribution part of the business declined, while the government business grew. The distribution declined—it was purposefully done, because that is what we talked about, because we decided to not chase businesses with 1% or 2% gross margin. So as a result of that pivot, leaning hard into the government channel, the gross margin of our AvKARE business grew over 400 basis points. So the gross margin in 2025 of AvKARE was $147 million compared to about $100 million in 2024, and the operating income in 2025 was $94 million compared to $57 million. So essentially, ’25 versus ’24, revenue up 12%, gross margin up 41%, operating income up 65%. So great performance. So now as we look into 2026, there are two things that are happening. We continue to expect the distribution business to be declining. But because it is such a low profitability part of the business, it does not hurt the bottom line. The government business is going to be down slightly, not because of anything fundamental that is happening, but in 2025 there was such extraordinary growth because we had this one generic product, essentially generic Entresto, where we were essentially the only ones in the market. That product had $100 million worth of revenues, as I mentioned before, in 2025. In 2026, as it always happens, it will have some additional competition. So that is why in 2026 revenue is declining—because of our pivot away from distribution, number one, and not having that exclusivity, if you want to call it that, of generic Entresto impacting the government business as well. That is what is going to drive the decline and what we like to call almost a reset level for 2026. But the bottom line is not going to be impacted, because for a couple reasons: A, there are other more profitable parts of the business to which we will be allocating resources; we will also be laying on some of the operating expenses. So these are the dynamics that are happening in AvKARE. Essentially it creates this reset revenue in 2026 before we resume top line and bottom line growth in 2027 and beyond. So I know I said a lot, Chris. Let me know if that was helpful.
Chris Schott: That was perfect. Thank you so much. Appreciate it.
Operator: Thank you for that question, Chris. Moving on, we now have Matthew Michael Dellatorre from Goldman Sachs. Go ahead, please. Your line is now open.
Matthew Michael Dellatorre: Great. Good morning, guys, and thanks for the question. Maybe on the Pfizer GLP-1 obesity partnership, could you just share your latest update on the status of that partnership? And then how should we think about potential outcomes—you know, for example, if they do end up buying you out, would that be a complete, for instance, return of all rights and economics? Or are there other scenarios where maybe you do not manufacture for developed markets, but you keep emerging market rights? And then if it is a complete buyout, what would be the plan for the new facilities in India and the cash you would receive? And then maybe just on business development, could you share your latest thoughts on strategy, areas of interest and capacity, and then how you are thinking about the potential vertical integration of biosimilars? Thank you.
Chirag K. Patel: Thank you. So good morning, Matt. With Pfizer collaborations, continue such as we had it with MedCerra. Both teams are working together. Facilities actually accelerated in manufacturing. And several levels of C-level meetings have been already conducted with Pfizer. So we expect nothing much to change. Right now, it is all waiting for starting the Phase 3 and getting the products and, you know, the demand is global. And we have built, building such a remarkable, highly automated fill-and-finish facility with latest and greatest equipment. So Pfizer is very excited about that. And also, we are making great progress on our peptide manufacturing, which you know is in shortages. With solid phase technology, we are also introducing hybrid in the future. So our teams are working with Pfizer on those aspects as well. And we continue to have the marketing rights for 18 countries, including India and Southeast Asia. So we are excited about the entire partnership, and there are no plans to think about right now. It is moving great. Yes. So as we have been saying it since the last couple of years, time is now to do the vertical integration. Biosimilar opportunities are awesome. Regulatory is streamlined. And we are very familiar with the market. So very excited—that is where the capital allocation will go first. And then, as I said previously, 2027 and onward, we will be more focused on specialty assets, and keep building our pipeline there. Remember, organically, we are very strong in our R&D pipeline, so we keep our pipeline full. More complex products, a great team in-house we have, so we will continue to invest in our own R&D, our own CapEx, which is—strategically, we have been investing and are very excited about the future. And next five years is going to be tremendous growth, more than what we have even witnessed in the last five years.
Operator: Thank you for that question, Matt. Moving on, we now have David A. Amsellem from Piper Sandler. Go ahead, please. Your line is now open.
David A. Amsellem: So just a few for me. Wanted to get your thoughts on the generic Omnipaque opportunity and what has been built into your ’26 expectations regarding that opportunity. Talk about barriers to competition, potential approval of additional strengths, and the extent to which you think that is going to be a limited competition product for the foreseeable future. So I know that is a bunch, but that is number one. And then secondly, I had a question on Xolair—similar set of questions—but wanted to get your thoughts on the extent to which that could be a limited competition market. I believe there are only two or three others. So talk about how big of an opportunity that could be in ’27 and beyond. Thank you.
Chirag K. Patel: Great. Thank you, David. On iohexol, you know, the supply chain is complicated. They will be entering the market. GE has the huge market share, so we will be making inroads. The we have spoken to, they are very excited, but expect that as a ramp-up. Because of the difficulty in the supply chain. So over the years, as we introduce more strengths, it will pick up. So great achievement from our R&D team. And complexity of manufacturing, both we have achieved. So excited over time on iohexol. On Xolair, very excited right now with Celltrion and us in ’26. Large market, growing market. Very well set about—we expect 65% to 70% to go through the private label, which, you know, gives us immediate bump in the sales, rather than ramp-up over market share over one, two, three years. So exciting opportunity. And as you know, Amneal Pharmaceuticals, Inc. is well positioned to do business with these large buying groups as we have been doing business with them over 20 years—great relationship, number one pipeline in the country for them, and they appreciate our high integrity, the quality standards we have. So we expect tremendous partnership with these private label side of the business, which I expect about—going forward would be almost 70% would go through private label which would make the biosimilar penetration very effective. It would not have to wait for three, four years to get to 30% to 40% market share. It would jump to higher market share immediately in year one. And 20% to 30% will continue on a buy-and-bill, which we are well positioned for as well. So very excited on Xolair as well. Chintu, you wanted to add anything on ibexel?
Chintu Patel: Yeah, David. So on iohexol, you had a question on additional strengths. So by end of the year, we will have approval for the missing strength. So by end of the year, we will have the entire Omnipaque, all the strengths. It is a very large opportunity for us. We have been working on strengthening our chain and increasing our capacity. ’26, we will start, but ’27 onward, it would be a meaningful revenue contribution. And from a competition perspective, it is a tough product. Supply chain perspective, manufacturing, it is a unique bottle. You know? So all those things put together, I think we do not foresee a lot of competition in multiple strengths. So we are very excited, and by end of the year, we will have all the strengths approved.
Operator: Okay. Great. That is very helpful. Thank you, David. Moving on, we now have Leszek Sulewski from Tourist Securities. Go ahead please. Your line is now open.
Leszek Sulewski: Good morning. Thank you for taking my questions. First one on Crexone. Can you quantify the persistence at perhaps month three or six versus your internal expectations and versus VITARI? Any sort of signal around discontinuation? And how should we think about the gross-to-net evolving as you broaden access, and what is kind of a steady state gross-to-net you are expecting at peak? And then second on the DHE order, what is the early patient profile? Is it migraine versus clusters and the switches from prior DHE exposure versus naive? Thank you.
Chirag K. Patel: Thank you, Leslie. Good morning. Craig Sondors is right. Obviously, Crexone is performing much better, as Rydery took almost 10 years to get to 6% market share. First year, we have 3% market share, 23,000 patients on it. Testimonials are amazing, and we get letters in our office—literally written letters—from patients. Providers are—so physicians are so excited about the product as well. And now our aim is to make that a first-line therapy over time. So no patient has to take the old Sinemet, which is giving them a lot of fluctuations every hour and a half, two hours. So this is clearly a seven, eight hours of good on time every day. Amazing stories. No comparison with the. It is—we are doubling or more than doubling market share this year, so we will reach 6% plus this year, which would be above. And we learned the pricing side, we learned everything. We had about 35% of patients who could not fill their prescription due to the pricing on a dietary. We have really worked on it and have put the pricing out there; that number has been reduced now. And our gross-to-net runs is typical in this category, about 40% to 45%. We are very excited about TEXA. Break here, Joe, you want to—it is also the breakouts for cluster headache as well as severe migraine. So we are treating two segments, and all the excitement is amazing. Joe Renda is here. He just came back from our national sales meeting. Would you like to shed some light on—
Joe Renda: Sure. Yes. So thanks so much for the question. And yes, the response from the field team so far has been fantastic on both Krepsmont and Berkey auto-injector because what we are seeing in the market from the key KOLs has been very favorable. I would say with regards to your question about Crexant with persistence and adherence, it continues to improve as we continue to see more and more patients on the product. And right now, it is surpassing that of Rytary, and we continue to anticipate that to go up because we are seeing patients return to therapy at a higher rate with Crexant than they did with Rytary. So that has been very favorable. With Berkey auto-injector, our strategy has been to focus on the key migraine treatment centers across the United States and key KOLs. And the response has been beyond our expectations so far. So we have been very pleased. We are about 90 days into the launch. And having come back now from our sales and marketing meeting—our national meeting—this week, I am maybe even more further convinced that we are going to continue to drive growth for both of those products. The team is trained and ready, and we are going be executing this year. So excited about that. Thank you.
Operator: Thank you, Leszek. We are now clear on the Q&A queue. With that, I will hand the call back to Chirag K. Patel for closing remarks.
Chirag K. Patel: Well, thank you, everyone, for joining the call today. Have a great Friday and weekend. Thank you.
Chris Schott: Thanks, everyone.
Operator: Thank you, everyone. This concludes today’s call. You may now disconnect your lines, and have a great weekend.